Operator: Hello, and welcome to Cumulus Media Fourth Quarter Earnings Release Conference Call. Please note certain statements in today’s press release and discussed on this call may constitute forward-looking statements under Federal Security laws. These statements are based on management’s current assessments and assumptions and are subject to a number of risks and uncertainties. Actual results may differ materially from the results expressed or implied in forward-looking statements due to various risks and uncertainties or other factors.
 I would now like to introduce Mr. Lew Dickey, Chairman and CEO of Cumulus Media. Sir, you may proceed. 
Lewis Dickey: Thank you, operator, and good morning, everybody. I appreciate everybody taking the time to join us today for our fourth quarter update. Also joining me today is our CFO, J.P. Hannan. Today, we're going to update you on our fourth quarter performance and provide pacing for both Q1 and Q2.
 We will also provide an update on the integration of the two acquisitions we concluded in the third quarter of 2011. As you may recall on August 1st, we closed on our acquisition of the remaining 85% of Cumulus Media Partners that we did not already own. And on September 15th we closed our merger with Citadel Broadcasting. Both entities are now consolidated subsidiaries of one Cumulus.
 Starting with our Q4 pro forma revenue, that’s Cumulus combined with the former CMP and Citadel assets. Net revenue was $290.2 million, down about $17.1 million or 5.6% from pro forma Q4 of the prior-year. This decline was largely the result of the absence of political advertising that these -- that all of these companies received in late 2010 during the mid-term elections.
 Now excluding these political dollars, the pro forma entity was down about 1% from prior-year, resulting from declines in telecommunications, restaurant, and general entertainment categories. Despite these declines, we continue to see encouraging growth in several key categories, particularly, automotive, retail, and financial services.
 On the cost side, we made tremendous strides in executing on the acquisition related expense synergies and exceeded the guidance we gave you in Q3, 2011 conference call regarding the Q4 realized synergies.
 If you recall, we announced as part of the Citadel acquisition, that we’ve targeted $51.9 million in expense synergies to be fully executed in the first full-year of operations, and that we would realize in our Q4, 2011 income statement approximately $8 million to $10 million of that amount.
 I’m pleased to announce that we’ve now executed on 100% of the total amount in just the first 100 days. And that in Q4, 2011 we realized $10.5 million of synergies. So this amount approximately $3.5 million of the $10.5 million, were from corporate expense savings.
 Now x the direct transaction costs, our pro forma adjusted EBITDA declined by approximately $3.1 million or 3.1% to $96.5 million for the quarter. Again, this was driven largely by the absence of almost $13 million of political revenue, the company enjoyed in Q4 of 2010. It was offset substantially by the related merger synergies.
 At this point in the merger, the majority of the integration for our financial systems and IT infrastructure is complete. And we are about half way into the conversion of the former Citadel markets on to our proprietary technology platform and sales operating systems. We have built a true platform company with multiple organic growth drivers including compelling new content, yield optimization initiatives and the development of vehicles to monetize our growing digital asset base.
 So just six months into this process now, we are well ahead of schedule on all fronts and highly optimistic about the potential value creation for our shareholders resulting from this significant transaction.
 Now the combination of Cumulus and CMPs already industry leading operating margins, along with the merger synergies and other value creating initiatives stemming from the Citadel transaction have created tremendous free cash flow -- a tremendous free cash flow generating enterprise. In Q4 of 2011, the pro forma entity generated approximately $39 million of free cash flow.
 Now as part of the Citadel transaction, we also closed on a global debt refinancing of more than $2.9 billion. This gives Cumulus now long dated maturities on its debt in a covenant-light structure that now provides the company with a tremendous amount of financial flexibility moving forward. Moreover, it eliminates any need to return to the credit markets for some time unless it is in our best interest to do so.
 Also as part of this refinancing, we raised an additional $475 million of new equity, which was used to deleverage the transaction. We closed the quarter with a covenant leverage of approximately 6.85 times, and anticipate accelerated deleveraging forward using our strong free cash flow generation. In Q4 of last year, we made $50 million of prepayments on a revolving credit facility, finishing the year with a balance of $150 million.
 Already in Q1 of this year, we have made another $50 million of prepayments that have now paid back half of the $200 million draw at closing for the Citadel transaction. At this rate of repayment we anticipate having the revolver fully paid down by early Q3 of this year. As such we expect to delever the business about one full turn in calendar 2012.
 Now looking ahead into Q1, 2012, though business started off somewhat sluggish in the quarter, which is really the slowdown that we saw from Thanksgiving through the end of the year, things are picking up. We’ve seen a steady build in our pacing since then, we anticipate finishing the quarter roughly flat on the top line. We are pacing up two times of a percent as we sit here today, with just a couple weeks left. So we’re saying roughly flat for the quarter in Q1.
 We’re also planning to anticipate another $11 million to $13 million of merger synergies in Q1 which should result in, let’s say, that’s realizing them now, which should result in a double-digit EBITDA growth on that flat revenue for Q1.
 The second quarter is also steadily building. We are now pacing up 3% at this point and picking up some momentum. But we’ve had some small pockets of strength in certain primary states; we’ve yet to see any substantial impact from political advertising to-date in 2012. However, we look for that to be a much greater factor as we move closer to the presidential election in Q3, and Q4. What we’re seeing from Katz right now is that it’s about a $40 million expected gain in national in 2012 versus 2010. And national is a little more than half of the overall political take.
 Now moving on to other key initiatives in the company, in December we announced an innovative new partnership with Clear Channel to bring our sweetjack.com daily deals initiative to 200 cities nationwide. This partnership provides Cumulus with the broad national distribution, needed to attack the roughly $3.5 billion domestic daily deal market. By utilizing our existing local infrastructure, strong listener relationships and the ability to reach SMBs, SweetJack is poised to develop as a high impact brand in the daily deal space.
 Additionally, the partnership with Clear Channel provides for the streaming of our approximately 570 radio stations on iHeart -- on their iHeartRadio platform, which competes directly in the developing internet radio space. We’re excited about the additional exposure we will receive through this aggregation model and we’re poised to capitalize on incremental monetization potential of these digital assets, which have historically generated very limited revenue for us.
 The way we look at it is we’ve about 30 million units to sell on the broadcast side in our platform, which means we have an equal amount or 30 million units to sell on the digital side, and which we’re really currently not monetizing at all. So, by the end of Q2, we will have the technology in place to begin monetizing this inventory, the mirror image of that or another 30 million units on the digital side as well as the impressions that we generate from our 570 station websites. So that technology which should all be in place here by the end of Q2, to begin to monetize that.
 Now we plan to officially launch our partnership with Clear Channel on SweetJack 1st of May and it will -- and through the rest of this year we will complete the nationwide rollout, so it will be in 200 markets by year’s end. And SweetJack will be one of the largest brands advertised on radio in the United States for the next several years.
 We expect to generate revenue in the back half of the year, the primary objective for this initiative in 2012 is really to scale the business, to assemble a great team, and to build awareness and adoption of the SweetJack brand. From the outside, this is a business model that looks very simple, but I will tell you at scale its enormously complex, which is why we’re been very methodical about the rollout of this business and how we’re building it in the team that we’re assembling.
 So, I’d say that we’re off to a very good start. We have much works left to do to execute our model, but we’re very optimistic about the potential of this whole course, which we expect to start realizing in 2013.
 Now with that update, I’m going to turn it over to J.P., who will provide us with some additional financial information. Then we will open it up for questions. J.P.? 
J. Hannan: Great. Thank you, Lew. Good morning, everyone. Now before we get started, I’ve one more clarification to note, there was a slight transposition error in the release issued this morning. This is related to prior period pro forma presentation of the three companies. An updated release is now been issued. So to clarify, this does not impact any previously issued actual results.
 Now I’m going to quickly go back through the details on our new capital structure from the global refinancing, and then I’m going to touch on a few other balance sheet items in the quarter. And then we will move on to questions.
 As Lew mentioned, at the end of Q3 concurrent with the Citadel merger, we also closed our new financing package that included a $1.3 billion first lien term loan; a $790 million second lien term loan and a $300 million revolving credit facility. This revolving credit facility has a current balance of $100 million, which leaves $200 million of availability on that line.
 The first lien term loan bears an interest rate of LIBOR plus 450 basis points, with a 1.25% floor, and this matures in September 2018. The second lien piece bears an interest rate of LIBOR plus 600 basis points and as a 1.5% LIBOR floor, and matures in March of 2019. Revolving credit facility bears an interest rate of LIBOR plus 450 basis points with a 1% LIBOR floor, expires in September 2016. And we continue to have $610 million of 7.75% notes due May in 2019.
 Those are outstanding, resulting from the refinancing we completed in Q2, of last year. This brings total debt at the end of Q4, 2011 to just under $2.9 billion with a blended current interest rate of approximately 6.6%.Total cash interest expected to be paid in 2012, is roughly a $193 million.
 As Lew pointed out, we now have long dated maturities on all tranches of our debt and that this is a covenant-light structure with financial covenant generally in place only when the revolver is drawn. Because of our current revolver balance, there was a financial covenant test at the end of Q4 at 6.85 times covenant leverage, we currently have substantial cushion against 7.75 times covenant though.
 Additionally, of the $475 million of new equity we raised to close the Citadel transaction, $125 million was issued in the form of a non-convertible perpetual preferred security that bears an initial coupon of 10%. Company retains the option to pay this dividend in full or pick up to half the amount quarterly. Fourth quarter dividend payment of approximately $3.1 million was made fully in cash this past January.
 Also on the balance sheet we incurred approximately $3.8 million of capital expenditures this past quarter, which brings our total year-to-date for CapEx to just under $6.7 million. The higher levels of CapEx this quarter were the result of the addition of the Citadel markets into our portfolio stations and some one-time infrastructure upgrades made to begin co-locating the operations of the six overlapped markets. We expect full-year 2012 CapEx for the combined business to be about $15 million.
 Full details and further analysis around our current capital structure and operations can be found in our Form 10-K, which will be filed with the SEC later this afternoon after the market close.
 And with that, we’d be happy to open up for questions. Operator? 
Operator: [Operator Instructions] Your first question comes from the line of Bishop Cheen at Wells Fargo. 
Bishop Cheen: Lew, let me just go back to your covenant leverage since that’s the only leverage number we have. Two components on that and you correct me if I’m wrong. The covenant debt is net of cash, can you tell us what the cash amount is, and then there is some natural definition to the covenant EBITDA -- adjusted EBITDA, so can you give us that number as well? 
J. Hannan: Bishop, Lew, I’ll take that. So we were able to net up to $50 million of cash each quarter, I guess, that debt in that covenant calculation. And then in addition we received a synergy credit prospectively for the cuts that we’ve actually now made, the $51.9 million. That ratchets down over the course of the first year as synergies are actually realized. So at the end of Q4, I believe it was about $38 million was the synergy credit -- the reduced synergy credit that we had. 
Operator: Your next question comes from the line of Avi Steiner at JPMorgan. 
Avi Steiner: I got a bunch of questions here, and I’ll try and be brief. But on the first one, on your flat guidance, curious if that includes any impact from Rush and I know you don’t syndicate him, but I believe you had some exposure; maybe if you can talk about that, that relates to your network business. 
Lewis Dickey: Avi, it includes everything to date. So what we’re saying is we’re basically up a couple of 10s right now as of 12th, and so we’ve got a couple of weeks left to go. We anticipate it’s pretty tough to move that one way or the other that much, its -- the business doesn’t book that late. So we expect that to hold and should be a pretty good number here for top-line, for Q1. And with Rush, look we had -- obviously its been, that’s some logistical issues primarily in swapping out network spots in the ABC newscasts that go in there with our -- and we’ve been working with our advertising partners on a very constructive basis to accommodate them wherever necessary.
 But we’ve also seen a real opportunity with this in the market place to talk about our new show that will compete head-to-head with Rush which is the Mike Huckabee show and we’re launching that next month, and it will be positioned, again with our affiliates as more conversation or less confrontation. So it’s actually, the timing is pretty opportunistic to be launching what's really the first head-to-head competitor with him in 20 years there.
 We’re also pleased to announce our progress on that, is that we’re now launching the Mike Huckabee show with 110 affiliates making this one of the most successful new show launches ever in syndicated radio. So there is obviously some pluses and minuses associated with all of this, but on the plus side, it’s going to really be very helpful to us with our new show launch. 
Avi Steiner: Okay. A couple of more here, and just to follow-up on Bishop’s question and maybe I missed the covenant EBITDA number, but is that just $376.6 million plus the $38 million synergy credit? 
Lewis Dickey: Yes. 
Avi Steiner: On the revolver, is the expectation still to have that fully repaid roughly by year-end – excuse me, middle to second half of the year? And can you update us on how you’re thinking about potentially redeeming some of that preferred? 
Lewis Dickey: Avi, we’ve been pretty consistent about this. We said job one was to get the revolver out, and so we’ve paid down half of it. We paid down 100 of the 200 draw we did at closing. And as J.P. indicated in his remarks and I believe I actuated as well is that we expect to be by the -- by early third quarter we expect to have the revolver largely paid off, and that would be the plan at this stage of the game is to go ahead and take the revolver out.
 And then obviously the next most expensive piece in the capital structure or the most expensive piece in the capital structure I should say is the preferred, and then we’ll be attacking that next based on the baskets that we have to take that out for this calendar year. 
Avi Steiner: And last question for me is just, clarification more on the year-ago Q4 number, so I’m just looking at the revised press release, and thank you for putting that out. But I guess my year-ago Q4 number, EBITDA number was a little bit higher in my model, and I wonder what I did wrong, and I was just pacing it off what was reported in the Citadel and Cumulus press releases? 
J. Hannan: Avi, there’s a lot of moving pieces to this, as we brought these three businesses together and we’ll get the pro forma calculation. So, there was a simple, it was just a transposition error that was in the old numbers from Citadel that were reported to us. We fixed that, we put out the new numbers, but in terms of numbers that you might have calculated based off of the offering memorandum or some of the previous documents before the year-end audit was done, and then there’s always some slight new ones that we can change it there. 
Operator: Your next question comes from the line of Lance Vitanza at CRT Capital Group. 
Lance Vitanza: Two questions, the first is; I heard the CapEx guidance, I think you said it was $15 million, is that right for 2012? 
Lewis Dickey: $15 million, yes. 
Lance Vitanza: Okay. And then the interest expense at $193 million cash interest for the year; any thoughts on EBITDA or free cash flow? 
Lewis Dickey: Well, we've been -- Lance, again we’ve been consistent on this all along saying that we believe in 2012, ’13 and ’14, will generate $1 billion of free cash for this business, and we standby, that there are some estimates that are out there for us to-date and those are -- that’s what the street has on us. So those kind of speak for themselves. 
Lance Vitanza: And then lastly, could you just talk about the incremental expense if any associated with streaming on iHeartRadio? 
Lewis Dickey: Well, there won’t be any incremental expense. We’re streaming everything today and so it has been on our proprietary platform that we’ve had in-house. We just haven’t had the ability to be able to traffic spots to be able to compete on the grid. So there’s really upside there -- in a fairly meaningful way as we’re able to monetize these assets. So while there is some variable cost to that as more streams we serve, we have some incremental expense to that, the amount of revenue that can be generated from that far outweigh that. So the model actually works in broadcast and you do have some operating leverage on that, and that’s -- we’re excited to be able to get in and put all of these streams on a platform that enables us to traffic it and sell it both in the national and local spot marketplace that we haven’t been able to do before. 
Lance Vitanza: How quickly should we expect to see some positive benefits there, is that relatively near-term or back half of the year? 
Lewis Dickey: I’d say Q3, Q4; we should say -- and again, it’s going to gradually pick up as we determine our strategy with respect to digital monetization and an ad network and so, or a series of them, and so as we -- this is something we’re very focused on, but we really haven’t had the technology to be able to even entertain that conversation to date. So, I would say that we should start to see some revenue in Q3, and Q4 over, but it should really start to pick up as we talked about, we believe once this also starts to take route and iHeart becomes more widely distributed as an app of choice on devices and autos, that’s going to also inherit to our benefit.
 So this is all -- I think, in many ways a lot of the things that we’re doing make 2012 a great setup year for us, that we’re going to start to see real benefit and an incremental step function of revenue growth in 2013 and that includes SweetJack, that includes our digital monetization from streaming and from station websites, everything from selling the audio ads to the banner ads to the video pre-roll. We have all of that inventory to sell as we put our stations on the iHeart platform. So, we’ll have all of the $30 million units to sell on streaming that we have to sell on broadcast, plus video pre-roll, plus all of the station websites that we have for our display advertising. So we just haven’t been active in the marketplace, and this is now putting us in a position to do so, but that’s back half of this year, will be. 
Lance Vitanza: That’s terrific. And then lastly just on the 2Q pacing is up 3%. Did you say that that’s all in, but you’re not seeing any -- there’s no real political in there, or is that a core number, up 3% in 2Q? 
Lewis Dickey: That’s virtually no political at this stage, that’s a core number because political drops very late as you know, so there really wouldn’t be any at this stage. And I think what we’re seeing on political is, the sooner that this is resolved in terms of whom the republican nominee is, the better that’s actually going to be in terms of more near-term political spend, call it Q2, Q3. I think it will be very -- particularly Q2, it will be helpful because a lot of the super packs or the super packs I should say are, in essence on the side lines with certainly on the democratic side waiting to see who it is they’re going to be targeting.
 So, this all takes a little bit time. Now you also have 33 senate races this time around, you’ve got 11 gubernatorial races, plus obviously all of the House seats. So it’s going to be a very active election, and the numbers that we had talked about early on about $30 million of political for the company, we expect that number to -- every indication that we’ve seen we believe that’s a good number and expect it to hold. 
Lance Vitanza: $30 million? 
Lewis Dickey: Yes. 
Operator: Your next question comes from the line of Michael Kupinski from Noble Financial. Your line is open. 
Michael Kupinski: I have a couple of them; I was just wondering in terms of your advertising thoughts; can you break that out between local versus national, and particularly in Q1 and how your pacings are in the -- in Q2? 
Lewis Dickey: Mike, we’re not giving guidance on specifically with -- on local versus national and those obviously there’s -- it’s somewhat fluid. What we’re seeing overall is that the, I know from the industries perspective, the pacing in Q1 is for national is just about flat, and the pacing for Q2 is up about 2% for the industry. So we’re basically in line with that, and that’s what, as I say our pacing is flat overall an4d our pacing for Q2 right now is up about 3%. 
J. Hannan: And I’d add to that, in terms of splits, we’re now running about 73% local and that is skewed slightly because of the addition of network inventory and the network dollars we have which accounted in national. 
Michael Kupinski: Okay. I guess, I was just looking more so from a particular trend that many are starting to see that local advertising seems to be improving at a slightly faster quit in the national at this point? 
Lewis Dickey: That trend is absolutely correct. 
Michael Kupinski: And I guess, if you were looking at the big drivers like as you’re seeing the strengthening going into the second quarter, a lot of broadcasters are saying that the auto category is performing very, very well right now, and I was just wondering, and in terms of auto as a category what do you -- can you provide for us the percentage of what the auto category is now with the new company, and then also if you’re seeing that particular category strong at this point as well? 
Lewis Dickey: Auto with the old business was mid-to-high teens consistently. And now it’s going to be in essence low-to-mid teens; is the way to be thinking about it. And auto was a nice growth driver for us in the fourth quarter and, what we’re seeing is that the local dealers spent is coming back as these dealers have all gotten much healthier, and you’re starting to see the credit markets become more receptive for auto financing. And so as consumers are able to get financed they’re buying more cars, and there’s more attractive packages out there.
 So that’s definitely it has been helping with, and then also we had issues with the supply chain because of the disruption in Japan last year, a year-ago and that obviously has all since been corrected. So we’re seeing that category start to come back. We’re also seeing and also this is related in a sense is that financial services is starting to -- that category is starting to come back with insurance and mortgage as well as, you start to see some health return to that category. So, overall I think those, particularly on a local side you’re starting to see the restaurants, all of the things that we see, we talked about this in the past that, we really see this as a slow climb out and things are just, the -- in essence I think the feeling out there is that the glass is more half-full than half-empty, and things are slowly getting better. It’s not roaring back. It is a slow slog, but nevertheless it is a recovery, and absent any real sustained spike and energy prices going forward that always makes us nervous as we talked about many times over the years. High gas prices is a weekly tax that people feel and kind of reintroduce fair into the system, but short of that, we think that this should be a nice slow climb out. 
Michael Kupinski: And in terms of the second quarter pacings, any particular sequential, how they kind of sequentially look, I mean you were saying that it’s strengthening in the quarter or do you think it’s kind of like still little too early to see it, kind of what’s there that far? 
Lewis Dickey: Yes, it’s early, I mean we’re -- but what we’re seeing is that, in other words, April looks better today than it looked 30 days ago, if that’s your question so we’re seeing sequential movement. 
Michael Kupinski: And then, just kind of circling back to the ad categories, is telecom -- does that still remain pretty weak right now? 
Lewis Dickey: Yes. 
Michael Kupinski: And then do you’ve any particular regional disparities that might be something that we should focus on? 
Lewis Dickey: No, not necessarily. The disparities that we’ve seen in our limited time with this platform have really been more based on market size stratifying at that way rather than by region. 
Operator: Your next question comes from the line of Michael -- I’m sorry, Nick Capuano from B. Riley & Company. Your line is open. 
Nick Capuano: Just a couple of questions on the integration process. And just from an operational standpoint, if you could provide some color, you’ve obviously done a lot of heavy listing in terms of the integration about the sales force and station operations, and if you could just kind of give your assessment on the operational progress and what you see given the changes that you’ve made, and start with that. 
Lewis Dickey: Sure, Nick. It’s a function of implementing our systems and our technology. We run the business a very specific way, and which is why we -- in essence, we run the business to be able to take advantage of scale, which means you need standardization, you need systems, you need a technology platform that enables you to exit that.
 So, it’s very different in many ways from a lot of the companies that we acquire, but because of that -- because there really isn’t -- we called one Cumulus, there is one way to do it, we don’t have a confederation all of a different cultures of assets that we acquire. It does enable us to successfully pull off transactions and integrate other companies and continue to build this business.
 So, our business has been built that way and our team has a lot of experience with that. We’ve done about 150 acquisitions both to assemble the company, so it’s just is a core competency of the group and it’s something that we’re hard at work at now and implementing across this platform. And we’ve seen, as I say, we’re -- we really buy all of our metrics and the standards that we’ve instituted here, we’re really ahead of schedule across the board on this merger. So, we drill very hard to prepare for it and our team has done an excellent job in execution to this point.
 So we look for -- it’s a lot of work putting these things together obviously, it’s a lot of work implementing new systems and implementing a new technology platform to run these businesses. But as we say, it’s gone extremely well and we’re buoyed by the quality of the people that we’ve in here, there has been a number of good leaders in the former Citadel business that have simulated very nicely into our platform and are adding a lot of value and bringing best practices to the table. And so, it’s -- and the folks that have their own way of doing business, and didn’t look like they were going to be along for the ride have found something else to do.
 So those all are -- that’s a natural fallout when you’re bringing businesses together and you’ve a very homogenous operating culture as we do, and as I say, all of that can be expected and that’s all going very, very well and we had a schedule on it. 
Nick Capuano: And just as a follow-up, I know on the network side there were a lot of opportunities to just improve the structure of that business and maximize that business. I know you’ve new leadership there, if you could -- just a quick comment on the progress and where you’re in terms of enhancing and revamping your network business? 
Lewis Dickey: Oh, sure. We do new leadership there as we discussed, we basically have revamped that entire business unit. And we’ve taken the opportunity to use it very strategically, which is to use it as another pool of revenue, which is about a $1.350 billion, another pool of revenue for us to go fishing and with the 30 million units that we’ve to sell.
 So, one of the key things that we’ve been pretty adamant about doing was to make sure that we had -- that we were, in essence, vertically integrating wherever possible and using our own talent and our own shows and our own content on our radio station. So we had in essence that we could do a much better job of maximizing the yield from that inventory. And so, that’s going very well.
 We’ve had to restructure everything from affiliate sales to time sales to the way content is generated and distributed and all of that is going extremely well. We’ve launched, just in a very short period of time, we’re only six months into this, we’ve launched a new traffic competitor to Metro, which basically had the market to itself, and called Right Now Traffic and we made that announcement with Radiate Media who is our partner in that venture and we’re just launching that now.
 We’ll have it in all of the Cumulus markets in the top 75 as well as be affiliating that with other broadcasters in the top 75 markets we announced, and put Geraldo Rivera on in New York and Los Angeles, which is a precursor to a syndication for that show in the morning and we also -- as I mentioned earlier, announced Mike Huckabee, and Governor Huckabee will be on the show, we’ll have a noon to 3 show with us to compete directly against Rush Limbaugh. And so that’s been a very successful launch, again of 110 stations.
 And then on CMT, we’ve also announced a partnership with Viacom on CMT, Cumulus’s largest country broadcaster. Now we’ve taken that show over and are aggressively pushing that in terms of our night show and we also announced an all-night show that we’ve taken in-house.
 So, all of that, the content verticals that we have leverage in, we’ve announced some great partnerships or joint ventures and new content that will help us to maximize that opportunity. So I would say that that’s off to an excellent start and we’ve done a lot of work in six months there. 
Operator: Your next question comes from the line of Amy Young, Macquarie. 
Amy Yong: Can you help us think about the revenue growth for 2012, I guess, political sounds a little bit stronger and so did 2Q, but 1Q seems a little bit weaker. So can you just help us think through what the total revenue growth picture looks like for 2012? And then also can you talk about margin expectations for 1Q and 2Q, it seems like there is some content costs are going to go up and you have some digital initiatives, but there is also some synergies? 
Lewis Dickey: I’ll take the revenue part and J.P will -- second part of your question on margins. On the revenue growth, I think the phased revenue for the -- that is in most analysts estimates for the company has negative growth in Q1 as which has been sort of the comp for the industry. And so, we’re already in essence ahead of that comp being flat against the industry in Q1. As I say, we’re at March 12 and that’s where the pacing is. So that’s a pretty good number to consider.
 So I would say we’re actually ahead of schedule for the revenue growth rates that have been forecasted in the analyst expectations of us for 2012 and then clearly we’re off to a decent start in Q2 and its building. As we said, April is -- and it’s really once you get to May, June it’s pretty far out. But April has picked up nicely from over the last 30 days. And so, we’re seeing some nice movement there and politically we continue to feel very good about that number.
 So, I think that what’s been out there, we haven’t given guidance, that’s why I’m not giving specific numbers. We haven’t given guidance for full-year on top-line growth, but numbers that are out there I think for the industry are in that 2.5% range. And that is really been booked based on negative Q1, and we’re ahead of that schedule today. 
J. Hannan: On margins, I mean, we hadn’t -- so haven’t given EBITDA guidance for full-year or for any individual quarters. Q1 is always our margin quarter of the year, just because of the revenue dips off. But if you recall the old -- I guess, Cumulus ran in excess of 35% margins and most of our [technical difficulty] market group, the CMP platform ran in excess of 40 up - 42% margins. So we think this combined entity will be somewhere between there in the 38% range and growing particularly as we realize the synergies going forward. 
Operator: Your next question comes from the line of Bishop Cheen at Wells Fargo. 
Bishop Cheen: Yes, as threatened, just a follow-up. Political, Lew, you talked about using $40 million in national political, if I have that right, so what I’m trying to do is just figure out pro forma, how much political did this platform generate in 2010 and as you look at political this year, it’s bigger than a bread box question, over the same, less? 
Lewis Dickey: Bishop, on the -- couple of parts to that on, on 2010 we did about $25 million pro forma for this platform in political. And I’m saying that Katz, the numbers I’ve seen is that on the national side, 2010 was $128 million and its projected to be $166 million. So, roughly 166.8 -- so roughly $39 million bump from 2010. And so it’s pretty significant. So it’s almost -- it’s a 30% plus bump in 2012 versus 2010 on the national side. Then obviously as we know that it’s not all national, national is little more than half and then the rest of it is local.
 So that’s -- we’ve said 30%, which is in essence of 20% bump over 2010 and we feel good about that number and that should be a good number to bank on. 
Bishop Cheen: That all makes sense. And then one housekeeping, on the preferred that you’re carrying out, I believe it’s in a 10% annual pick rate, so that’s up to like 113.7 or was there any preferred bought back or downsize in Q4 or in Q1? 
Lewis Dickey: Bishop the slug of preferred that Macquarie is holding is $125 million and it was a -- it had a 10% coupon and then it goes to a 14% coupon. And so that is -- it is -- we are electing to pay that in cash and have been, and it is our objective to take that security out of the capital structure as soon as we can. We’ve just been paying down the revolver, as we mentioned we’ve already paid down $100 million in the first six months of revolver debt. So, those are the two slugs that we hope to have paid down in full here over the next 12 months. 
Bishop Cheen: Understood. But the $125 million, I thought that was the liquidation value that you take it out, isn’t that preferred, is it accreting up beyond the $125 million or there is a discount right now to the carrying value? 
J. Hannan: For presentation purposes on our book, yes, we do discount and accrete it up, but it’s a $125 million base and we’re paying it… 
Bishop Cheen: You kick it out. 
J. Hannan: Right. 
Lewis Dickey: Yes. 
Bishop Cheen: Okay. So I just want to know what you’re carrying at year end 2011? 
Lewis Dickey: Bishop, while J.P is pulling that up, the coupon on that preferred has been paid in cash today and we’ll continue to be so. So it is not picking or accretive. 
Bishop Cheen: It’s not picking, okay. 
J. Hannan: Bishop, I don’t have the exact number in front of me, but we did in our K, which we filed this afternoon. 
Operator: There are no further questions at this time. I’ll now turn the call back over to the presenter. 
Lewis Dickey: All right, operator. And thank you, everybody, very much for your time today, and we look forward to speaking to you on our Q1 results call. Have a good day. 
Operator: This concludes today’s conference call. You may now disconnect.